Operator: Good morning, ladies and gentlemen, and welcome to the Boralex Fourth Quarter and Fiscal 2024 Financial Results Conference Call. Please note that all lines are in listen-only mode. [Operator Instructions] Please also note that this conference call is being recorded. For webcast participants, you can also ask questions during the call, but they will be answered by email after the call. Finally, media representatives are invited to contact Camille Laventure, Senior Advisor, Public Affairs and External Communications at Boralex. Her contact information is provided at the end of the quarterly press release. I would now like to turn the conference over to Mr. Stephane Milot, Vice President, Investor Relations for Boralex. Please go ahead.
Stephane Milot: Well, thank you, operator. So, good morning, everyone. Welcome to Boralex's Fourth Quarter and Year End Results Conference Call. So joining me today on the call, Patrick Decostre, our President and Chief Executive Officer; Bruno Guilmette, our Executive Vice President and Chief Financial Officer; and other members of our management and finance teams. Mr. Decostre will begin with comments about market conditions and the highlights of the quarter. Afterward, Mr. Guilmette will carry-on with financial highlights, and then we will be able to answer your questions. As you know, during this call, we will discuss historical as well as forward-looking information. When talking about the future, there are a variety of risk factors that have been listed in our different filings with security regulators, which can materially change our estimated results. So these documents are all available for consultation at SEDAR+, and our webcast presentation document, the disclosed results are presented both on a consolidated basis and on a combined basis. When talking about the results, we generally refer to combined numbers, and when referring to cash flow and balance sheet, we generally refer to consolidated numbers. So please note that combined is a non-GAAP financial measure and does not have standardized meaning under the IFRS. Accordingly, combined may not be comparable to similarly named measure used by other companies. So for more detail, see the non-IFRS and other financial measures section in the MD&A. So the press release, the MD&A, consolidated financial statement, and a copy of today's presentation are all posted on the Boralex website at boralex.com under the Investors link. If you wish to -- if you wish, sorry to receive a copy of these documents, please contact me. So Mr. Decostre will now start with his comments. Please go ahead, Patrick?
Patrick Decostre: Thank you, Stephane, and good morning, everyone. It's a pleasure for me to present our results and achievements for the fourth quarter and fiscal year 2024. In an environment with a lot of noise, we stay focused on the execution of our plan in the past year, creating value in our four key geographies; Canada, the UK, the US, and France. We have developed strong expertise and competitive advantages in this region and we will continue to capitalize on our project pipeline to produce cost-competitive renewable energy at rate of returns in line with our objectives and market expectations. We closed a record CAD1.2 billion in long term financing, including bridged loans for federal investment tax credit in Canada for our project under construction. We continue to optimize all aspect of our business, and we maintain a very solid financial position. Recent acquisitions of public companies by private investors show that the value of renewable companies remained strong, driven by the increasing demand for electricity in many regions. In terms of financial performance, overall for the fiscal -- for fiscal year 2024, combined production was 2% lower than in 2023 and 8% below anticipated production. Wind conditions in France and to a lesser extent in Canada have been weaker than expected for a good part of the year. Our diversification in the US helped us in 2024 with wind conditions in this region being higher than expected. As a result, our financial performance in 2024 is below our expectations with a combined operating income of CAD267 million and a combined EBITDA of CAD670 million, down 1% from 2023. Bruno will cover later in more details our fourth quarter results. During the year 2024, we made good progress on the construction of our Limekiln project in Scotland and our Apuiat project in Quebec. I'm very pleased to announce that Limekiln is connected to the grid after a small delay from the grid operator in Scotland. The project is now successfully going through the testing phase and should be fully commissioned beginning of April. The commencement of operations at our first wind farm in Scotland marks a significant milestone for Boralex. I would like to acknowledge our team's efforts and accomplishment over the past years. Starting in 2025, we will benefit from increased revenue and cash flow diversification. During the last quarter of 2024, we also closed the acquisition of a 50% participation in Clashindarroch extension project, a 145 megawatt wind project under development and the adjacent 50 megawatt battery project located in Scotland. Our UK team already has an extensive experience in this area and is looking forward to bring Clashindarroch extension project, through the remaining stages of development. Finally, we are preparing ourselves to submit bids in the AR7 RPF later this year. Regarding the construction of our Apuiat project in Quebec, we have faced some difficulties on-site with one of our contractor, which combined with arch winter condition, delayed the COD by a few months. The experience enabled us -- this experience enabled us to reinforce our project management and controls for upcoming project. In particular, our Des Neiges Sud wind project for which commissioning is scheduled in 2026, will benefit from our learnings. It entered construction phase with the start of on-site work for roads leading to the base of the turbines. In Ontario, the construction of our two battery storage project, Hagersville and Tilbury, are advancing as planned with commissioning scheduled by the end of this year. We announced the financing of both projects during the last quarter of the year on very good terms, including bridge loan to finance the investment tax credit to which the projects are eligible. Finally, on the development side, 2024 was a very good year for Boralex. Our portfolio of projects under development and growth pass is now totaling over 8 gigawatt in high-growth potential markets, a 1.2 gigawatt increase over 2023. I would like now to cover market conditions by region. Starting with the United States, where there is a lot of uncertainty on potential policy changes. So far, the executive orders that were signed by the new US administration have no direct impact on our operations and we don't expect major changes in law that would affect our activities, but we remain vigilant. As electricity demand in the United States is increasing, mainly driven by growth in US manufacturing and the expansion of data centers, we believe overall that this situation could even bring opportunities and that we need to stay focused on our long-term strategy. In Canada, Quebec and Ontario remains strong potential growth market for Boralex. We are in discussions with Hydro Quebec about partnerships for large projects as well as RFP to come for smaller projects. We are well-positioned in this market with strong local expertise and good relationships with First Nations and communities. Our 3 times 400 megawatt projects in partnership with Hydro Quebec and Energir, Des Neiges Sud, and Denesh West are very good example of how Hydro-Quebec would like to develop large projects going forward. In Ontario, the government has increased the target for additional capacity from 5 gigawatt to 7.5 gigawatt by 2034 to meet soaring the energy demand. In 2024, with the selection of the Oxford storage project, we consolidated our position as a leading developer in the battery storage technology in Ontario. Our team there is now building a pipeline of wind projects to be ready for the upcoming rounds of RFPs. In Europe, the Labor Party's election in the UK is very promising for the renewable energy sector. The government objective over the next five years is to double the onshore wind capacity from 14 gigawatt to 28 gigawatt and increase battery storage installed capacity by 5 times from 5 gigawatt to 25 gigawatt, along with significant investments in the modernization and expansion of the electrical grid. I will now rapidly cover the main variances in our portfolio. In 2024, the pipeline of development project increased by over 1.1 gigawatt totaling 7 gigawatt. The pipeline change was a result of the addition of wind, solar, and storage projects in Europe and North America in the early stage for roughly 1.8 gigawatt. And the transition of project to the mid-advanced and secured stage in Europe and North America. The growth path now consists of nearly 1 gigawatt of wind, solar, and battery storage project. The evolution of the growth path mainly include -- included the transition of two storage project and one wind project in North America to the under-construction or ready to build stage. The commissioning of three wind projects and one solar project in Europe for 84 megawatt. I have already talked about our major achievements in line with our strategic directions and long-term objectives. But you can find additional details in the slide of the webcast and in our MD&A. This completes my part. I will now let Bruno cover the financial portion in more detail, and we'll be back later for the question period. Bruno?
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. I will start with the financial highlights of the quarter. Total combined production was down 11% compared to the same quarter last year and 12% lower-than-anticipated due to unfavorable weather conditions in France and to a lesser extent in Canada when comparing to anticipated production. As a result, our combined EBITDA amounted to CAD191 million, down CAD38 million, and consolidated AFFO amounted to CAD47 million, down CAD44 million compared to the fourth quarter of 2023. I will now review the progress made in the past four years in light of our 2025 corporate objectives. First, our installed capacity went from 2.2 gigawatt in 2020 to 3.2 gigawatt at the end of 2024. 2024 operating income and EBITDA are comparable to 2023 levels. Our reinvestment ratio is in line with our 50% to 70% target at 57%. We are more than ever focused on the disciplined execution of our plan in this growth environment as we are making good progress on organic growth with over 0.7 gigawatt of capacity under construction. The current gap to meet our 2025 targets is mainly attributable to M&A assumptions embedded in our targets for which we have so far not found the appropriate targets and will only do if it meets our investment guidelines. In other words, we will continue to grow with discipline. Total debt increased in 2024 to CAD4 billion, with project debt now representing 89%. I would like to congratulate our finance team for securing CAD1.2 billion in financing in 2024. This achievement highlights our capability to close sophisticated financings on optimal terms, providing enhanced line financial flexibility to achieve our objectives. I will now provide more detailed information on our financial results for the fourth quarter starting with production. In North America -- sorry, I missed production, in North America, total combined production for the quarter was 3% higher than the same quarter last year, but 5% lower-than-anticipated. Production from wind assets in North America was 9% higher compared to the same quarter last year, but 2% lower than anticipated. Production for the hydro sector was 30% lower than last year and 23% lower than anticipated due to unfavorable weather conditions in both Canada and the US. Production from solar assets in the United States was 4% higher than the same quarter last year, but 13% lower than anticipated. In Europe, total production was 29% lower compared to the same quarter last year and 23% lower than anticipated, mainly attributable to unfavorable wind conditions in France. As mentioned earlier, the decrease in production affected our revenues, EBITDA, and AFFO, which were compensated in part by the contribution of new commission sites in France and our commercial strategy optimization. In conclusion, 2024 was a year of growth for Boralex as we continue to develop and execute our projects in our target markets, maintaining a solid balance sheet and good financial flexibility. Looking ahead, we are very excited for the year to come, starting strong with the commissioning of our projects, in Scotland and in Quebec, and the construction of our battery storage projects in Ontario. We are also looking forward to present our new strategic plan 2025 to 2030 in the upcoming months. We will continue to be ambitious in our growth and diversification strategies while creating optionality in our capital allocation. In addition to securing optimized financing, we will be more proactive on asset recycling. We are also initiating a share buyback program as we believe our current stock price does not reflect the proper -- the proper long-term value of our company. Thank you for your attention. We are now ready to take your questions.
Operator: Thank you. [Operator Instructions]
Stephane Milot: Okay. Sorry, everyone on the line. We're trying to reach out to the operator seems to be having a technical problem. Thank you. Yes. Just a second. We seem -- we are not hearing the operator. So please stay tuned. We're trying to resolve this issue.
Operator: Hello, this is the operator. Please stand by while we continue with the conference call. Thank you. Thank you. And our first question will come from Rupert Merer from NBF. Your line is now open.
Rupert Merer: Hi, good morning, everyone. Can you hear me? Hello?
Stephane Milot: Okay. Operator, are you there? We are ready for the question period. Hello. Sorry, we had a technical issue here. We couldn't hear you. So, we are ready for the question period.
Operator: Okay, perfect. Thank you. [Operator Instructions] And our first question will come from Rupert Merer from NBF. Your line is now open.
Rupert Merer: Thank you, Stephane. Can you hear me?
Stephane Milot: Yes. Yes. How are you doing?
Rupert Merer: Very good. Very well.
Stephane Milot: Good. Sorry for that.
Rupert Merer: No, no worries. You talked about the private equity activity that we saw in Quebec recently. I'm wondering, does this have any impact on your view of the competitive landscape in Quebec and your future opportunities for investment in that province?
Patrick Decostre: Yes, good morning, Rupert. What I think, the first point is that the recent transaction is providing Hydro-Quebec a more independence since they are no longer -- they will -- they are no longer shareholders of our competitor. And with the -- with that, the demand is very, very important in Quebec. Hydro Quebec needs the participation of all the players to realize its plan on-time. As I mentioned in my speech, I think Boralex is well-positioned because we are the only one with the experience of partnership in large wind project with Hydro Quebec and Energir under construction. And finally, the competition will make us better, but we are used to that.
Rupert Merer: Very good. And a follow-up on the private-equity valuations. So, Bruno, you highlighted that you could look to accelerate some asset recycling. I'm wondering where do you think are the best opportunities for recycling in Boarlex's portfolio?
Bruno Guilmette: Yes, hi, Rupert. There's a few and we're looking a few years ahead in making sure that we plan these in advance as you understand, we always look to recycle assets when we've created some value and that we can have, for example, financial investors join us as we previously did very successfully in France selling down 30%. And so if you -- for example, we've talked about the possibility in the execution currently, we're looking to sell-down or sell completely our hydro assets, which is something that makes sense from a valuation perspective at this time from our perspective, and there's additional elements in the portfolio that we're looking at in the future. Once we've created value, once we've, for example, built the asset and created some value where our teams can create value and have partial sell down. So in some cases, it's going to be complete sell. In some cases, it's going to be partial sell downs.
Rupert Merer: All right, very good. I'll leave it there and get back in the queue. Thank you.
Bruno Guilmette: Thank you.
Operator: Thank you. We are now going to proceed with our next question. The question is come from the line of Sean Stewart from TD Cowen. Please ask your question. Your line is open.
Sean Stewart: Thanks. Good morning, everyone. Bruno, wondering if you can comment on your overall comfort with available liquidity, and I appreciate that this could be augmented by asset recycling. But when you're looking at the development pipeline over the next couple of years and I guess, buyback ambitions with the NCIB in-place now, comfort with the current funding position relative to those demands on capital over the next couple of years?
Bruno Guilmette: Yes, Sean, thank you. We're very comfortable with the financial flexibility that we have today with over CAD500 million, CAD523 million of financial availability. And looking forward a year or two, we're very comfortable when we execute our plan, we've included some and been successful so far in bridge financing, some of the ITCs. There will be further bridge financings for those ITCs. So we're quite comfortable for the looking-forward 12 to 24 months in our ability to use and to fund our growth. As I always say, that doesn't include M&A because M&A is unpredictable in size and timing. But certainly, for the growth pipeline, we're quite comfortable with that position. And the asset recycling valuation I think you've seen evidence this week and that private investors are looking at the long-term value of these types of assets and are seeing a significant additional value than the public markets is currently showing in our stock price. So we're confident in the additional value.
Sean Stewart: Understood. And can you speak to your perception of underlying value in your share price right now, and it's a 10% buyback you're putting in place here. A perceived value in your shares versus opportunities for organic growth, what that sort of spread looks like?
Patrick Decostre: Yes, I think it's -- I mean, it's a capital allocation decision. The share buyback program is a tool that was missing in our toolbox. We'll continue to invest. And my answer, I think points to that we have the financial flexibility to also invest in our program and do the share buyback program in and when we feel it's appropriate because we currently believe that our stock price is undervalued and we want to use that program to give the right signal to the market that we're very confident in our growth. But it's additional capital allocation. So as we see a good return on buying back some of our shares and we also have a deep pipeline of projects on which we see also very good returns. So we'll continue to invest significantly in our projects. And the share buyback program is just an additional tool that we'll use efficiently.
Sean Stewart: Okay. Understood. That's all I have for now. Thank you.
Patrick Decostre: Thank you.
Operator: We are now going to proceed with our next question. The question is come from the line of Nicholas Boychuk from Cormark Securities. Please ask your question.
Nicholas Boychuk: Thanks. Good morning, guys. On the accurate construction issues and the harsh winter delays, can you please expand a little bit on what happened there and why the niche will benefit from whatever learnings you're taking from that project?
Patrick Decostre: Yes, good morning, Nicholas. Essentially, there was delay to -- for the erection of the turbine and the finalization of the -- what we call the mechanical completion. And then you have -- this is a period where you have cost running because you have cranes on-site and people on-site. So we have -- as I mentioned, we have difficulties with one contractor. So we put other support from our internal team and also external support and the things are going better now. We have 31 turbines erected on 34, and we are finalizing mechanical completion, and that's where we are. So you know that we experienced in Quebec a very, very tough winter with deep snow and freezing rain in December. So that lasts for the last three months. So that's where we are. We know that how to finalize the thing, and the team is looking to that. The second point on your question is, how do we estimate and go deeply into the risk of the project before and the evaluation of the different risk that can happen in the project. We did that, but we could do better, and that's what we are doing for the other project, typically, but also all the other project that we have presently.
Nicholas Boychuk: Okay. Understood. Thanks. We've also talked previously in the past about M&A possibly contributing to some of the gap that you might have in the organic capacity you're looking to add relative to the 2025 target of hopefully having 4,500 megawatts or 4,400 megawatts of operating capacity. Do you guys have anything in your sights right now, especially given that you might be selling some hydro assets to tackle all of that or make a material acquisition?
Bruno Guilmette: Yes. I don't want to be too specific on targets, but generally, you've seen that we are active in the UK on the M&A front on growing that business in that market more quickly. So geographically, that's a key market where we're looking at to do more M&A. The US could be a target in the -- certainly in the medium term. And that's where we're looking at different types of assets. But also teams and types of strategies to complement what we already have in those markets. So we want to grow these markets more quickly by adding, for example, teams in the US or some assets in the UK, for example.
Nicholas Boychuk: Okay. Thanks, Bruno. And the last for me, just on the investment-grade credit rating. I know you've been seeking that for a while and I appreciate the challenges in receiving that. Is there any update on when that might come? And given the delay have there been any financial objectives you've been looking to do that you haven't been able to because you're waiting for that and therefore, things you would want to do right away as soon as you get it?
Bruno Guilmette: It's interesting question. So we've essentially looked and put certainly quite chime in on the on the rating decision, I would say because we've decided to delay that after having some discussions because it was certainly putting a constraint on our growth and the ability to allocate our capital in the most efficient way. So, and to answer your question, we have not seen any limitation in our financing by not having the credit rating. So to me, the importance of the credit rating is to get more -- eventually more benefits, but those benefits we already have today with the balance sheet recognition by our financial partner -- financial partners. We can -- we've seen -- you've seen the results of our CAD1.2 billion financings in 2024 at very good terms. So we continue to be able -- and for example, on the battery storage financings, this was -- these were the largest financings of storage in Canada. So certainly, you've seen that we're able to continue to fund our growth without the investment-grade rating. The investment-grade was put in constraint and we'll continue to reach for that, but probably delay that by two, three years.
Nicholas Boychuk: Okay. Understood. Thank you, guys.
Patrick Decostre: Thank you.
Operator: We are now going to proceed with our next question. And the next question comes from the line of Mark Jarvi from CIBC. Please ask your question.
Mark Jarvi: Yes, thanks. Good morning, everyone. Bruno, I just want to follow-up some more on the asset recycling commentary. I mean, how would you say those views have evolved over the last couple of quarters in terms of how firm of a plan you want to put in front of investors? Like would be the -- is there potential for sort of an asset rotation target like some other renewable companies put out there to try to show confidence to the market around different funding options and the runway for growth over the next couple of years?
Bruno Guilmette: Well, Mark, that add Mark first. I certainly will consider that in our presentation, as we said in Investor Day upcoming in the next few months, we certainly have a clear plan of the criteria when we want to sell-down the assets. The valuation that we see in those assets. Whether as I said there would be partial divestitures or complete divestitures. And we can certainly give you more color on that in the -- at the Investor Day. We have strong confidence in the additional value that we can extract from some of our assets at the good -- at the right timing. And we'll put that on our key punch-list for the Investor Day.
Mark Jarvi: For example, on the hydro assets, would you have already had some sort of indicative sense from either potential buyers around valuations on those assets? I'm just trying to understand how much confidence at this point you could put forward in terms around where you think proceeds could come in over the next couple of years?
Bruno Guilmette: Yes. We've had -- well, we can certainly and I'm sure you can as well look at comps, look at recent transactions. Hydro assets are in demand and as I said, we started the process. We have early at this point, early indications, but we're quite confident in the possibility to obtain a significant value out of those assets.
Mark Jarvi: Sounds good. Maybe the next question is for maybe both of you actually just in terms of the announcement this week and kind of sit there now. There's -- of your side, there's not that many other public companies out there. The question around scale comes up. When you think about minority asset sales or different types of partnerships, is there anything else that starts to change your view in terms of what you would maybe want from a partner from optionality around different things and they obviously do different things on procurement. So just curious in terms of spreading asset sales across a number of partnerships versus starting to think about maybe more of a strategic alignment with one partner going forward?
Patrick Decostre: Yes. Hi, Mark. The first thing, the transaction reflects the strong value of renewable energy companies in the fact that the stock are too low in the sector presently. The demand is high, the possible -- the -- so the return are interesting and the private investors who are sophisticated understand this value that was the case with EIP in France, that is the case in this situation and in other situation during the last 24 months. So does that change us significantly, the answer is we are always evaluating the right way to reduce our cost of capital, being nimble to do the project, have the financing. We are aligned as management also to do the best for the shareholders of the company and for the client and the partners. So there is different options of partnership and I would not say no to a global option also.
Mark Jarvi: Okay. All right. Thanks.
Operator: We are now going to proceed with the --
Patrick Decostre: Thank you, Mark.
Operator: We are now going to proceed with our next question. The questions come from the line of Nelson Ng from RBC Capital Markets. Please ask your question.
Nelson Ng: Great. Thanks. First question is just more of a clarification on the NCIB. So you obviously haven't been too active on buybacks in the past. Do you see your NCIB as being something that you will definitely use and you've set an internal target to purchase -- repurchase a certain number of shares or is this more of a, I guess, an option where you could potentially buy-back some shares if the shares stay at the current level or fall below a level?
Bruno Guilmette: Hi, Nelson. Thank you, again. We can certainly say yes to both. It's an option that we'll definitely use. So we're not -- this is not something theoretical. This is something we're putting in place. And as I said, we are -- we believe that our stock price is undervalued. We'll continue to execute our plan to make sure that we demonstrate to the market that there are different valuation creation that we can do through our a growth plan and we'll continue to do that and execute, but also we'll use that additional tool, which can provide a good return to our shareholders.
Nelson Ng: Okay, great. That's clear. And then second question is relating to the growth path. So there are I think 243 megawatts in the secured projects. And how much of that do you guys see falling into 2026 or are they mostly 2027 projects? I think that the big one there is Des Neiges, Charlevoix. Is that more of a 2027 project?
Patrick Decostre: Yes. Danaj -- hi, Nelson. Danaj is a 2027 project and we expect that another one I mentioned, which is called Dinesh West will be a 2028 project. Okay? And the Oxford -- the Oxford project is also -- which is not secured yet, but near to be secured. It's 125 megawatt battery storage in Ontario. It is also a 2027 project.
Stephane Milot: And then we have the Benoit and Athabasca project, which also will proceed in time, and after that's going to be the UK eventually, if we get something out of the next RFP, but this is longer-term. So, it's not in our growth path right now.
Nelson Ng: Okay. So 2027 and 2028 are filling up nicely. And then just one other question I had was on project costs. Obviously, for Apuiat, you had some construction delays and some cost issues. But from a, I guess, average cost per megawatt perspective, I think Apuiat is about CAD3.8 million per megawatt from a construction perspective, the Des Neiges Sud project is closer to -- I think it's like CAD2.4 million per megawatt. Obviously, they're located in different parts of Quebec, but have you just seen -- have you recently seen the cost of projects come down significantly or is it just that the Des Neiges project there's large economies of scale over there?
Bruno Guilmette: Well, certainly, the Apuiat project is in a different region. So I think as you pointed out, it's more difficult conditions, and we've had -- as Patrick mentioned, we've had some timing and weather difficult conditions. So that will make it a bit more expensive than the average project. Des Neiges is an extension in a region where we're or we already have some assets. So I think that makes a difference. There's transport is a more remote region. There's more -- it increases our BOP costs and our transportation costs, among others.
Nelson Ng: Okay. That makes sense. And then just last one, I'm sure everyone loves to talk about tariffs. So the two Ontario projects, Hagersville and Tillsbury, are expected to be completed at the end of this year. Are all the battery -- I guess, first of all, are you sourcing batteries from the US, and if so, are they already on site? And do you need to source anything else? From the US and is that -- and can you just comment about any potential risks of tariffs being in effect?
Patrick Decostre: In on the Hagersville and Tilbury project, we made all the analysis on the tariff risk. It's a Tesla batteries but they are already on-site indeed or near to come. So very, very, very limited potential impact, very, you know, negligible. We are doing that on all the project that we have and there is, as you know, for all companies, a lot of noise around this, but we are looking -- we're doing with our risk management team, lots of different scenario to see how we can protect us if there is tariff or and/or retaliation and everything we can imagine. But we are doing this job specifically on the project under construction, but also the project that will come to FID in the next months.
Nelson Ng: Okay, great. Thank you. I'll leave it there.
Patrick Decostre: Thank you.
Operator: We are now going to proceed with our next question. The question is come from the line of Robert Hope from Scotiabank. Please ask your question. Your line is open.
Robert Hope: Good morning, everyone. Just one question for me. So you highlighted the kind of the discrepancy between the private and public valuations out there. But I guess more specifically, how are development pipelines being valued versus operating assets? And if there is a discount on US development pipelines, does this provide an opportunity to accelerate your growth in that region, whether it's on the wind and/or solar side?
Patrick Decostre: Yes, good morning, Rob. Clearly, in my -- in -- I think you know that the pipeline today in the stock price is -- there is no value on it. That's clear. Just to read all you and all your colleagues, that's the first point. The second point is, there is clearly opportunities in different markets. We did -- we closed some transaction in the UK, there is certainly opportunities in the US, and we're looking to that like we did with Infinergy three years ago, and we have all the partners are still there. We consolidate the company there. A similar-sized of team and project platform could be of interest for us. And the important point is in which state -- in which states and at what level of development they are, but certainly there is interest. And when you look to devaluation of, again, sophisticated investor that we obtain in France. I know it was three years ago, but the pipeline and the value of the team was high. So this is speaking about Boralex, but there is on the other side, opportunities today with people who are in a situation where they need a larger player to have them to bring their project to final investment decision and COD at the end?
Bruno Guilmette: So it's the key -- it's one of the differences between public and private markets. At the moment, the cost of capital and the valuation of aspects in addition to operating assets is more positive and valued by the private investors. And the private investors have quite a large sums of money to invest in the renewable sector.
Robert Hope: Thank you.
Patrick Decostre: Welcome. Thank you.
Operator: We are now going to proceed with our next question. And the questions come from the line of Benjami Pham from BMO. Please ask your question. Your line is open.
Benjami Pham: Hi, thanks. I wanted to go back to your comment around being proactive with asset sales, and may I missed it? Your prepared remarks, are you pushing this more to fill a funding need that you're anticipating the years ahead or is this just a simple valuation exercise that you're moving forward with?
Patrick Decostre: The -- you mean the asset recycling is your question? Well, I'll try to answer and let me know if that -- my answer is okay. Asset recycling for us is part of the -- both the financial and the general strategy, i.e., having partners in some assets adds capital to our growth program because partners are not only buying something, but they're also providing additional capital for growth, like in France where EIP contributes 30% of capital to the growth of our platform there. So it's part of the strategy overall, but it's also a financial tool, and it's also currently, and has been for a while, an arbitrage opportunity. So it's -- we -- it's important for us to select the right partners because we want to be with them for the long term. So our partners are important. And the valuation that it provides and the cash is also important. I don't know if that answers your question.
Benjami Pham: Yes, it does. May just extend on that. On your backlog, right now, secured the thought process you can fund that with ITCs, and free-cash flow is there a wedge there for asset sales to fill the gap? That's new, or is the prior guidance is intact, and this is just additional liquidity that you're trying to move forward with?
Bruno Guilmette: It's part of the financing of the overall growth program. As you know, we're -- our growth is accelerating. We are -- we have large -- larger pipeline. We're seeing more growth opportunities in our markets, as Patrick described. So to us, it's a good way to essentially for -- to demonstrate to shareholders and that we're funding at the lowest cost of capital. Instead of issuing equity, we're finding additional funds from partners at valuations that are accretive to our current shareholders.
Benjami Pham: Okay. I got you. And I -- and just some of the comments here around the news this week and it looks like you're going to benefit from that the in other ways more assets and other assets that you see but when you think about the public versus private debate right now as you think about your business, or just your future going-forward is there really a strong case to even stay public at all? Because when I look at the private alternative, it just checks a lot of the boxes now in terms of your need for capital, your growth going forward? Like what is the huge benefit of being public at this point in time? And maybe you can just talk generically too of that is more helpful.
Bruno Guilmette: Yes. Well, as you may know, I've been on the private side, and I'm now a CFO of a publicly-listed company. So I know both worlds and both the types of vehicles of their pluses and minuses. Having a diversified base of shareholders in an organized market like the public markets creates a bit more volatility, as we've talked about, but certainly, it's a continuous way to access a market which is potentially deeper at the end than just having one shareholder. So we're a listed company, and as we mentioned, we find ways to tap into the private market valuations at the same time having the benefits also of being a publicly-listed company. So there's pluses and minuses, but we are a listed company.
Benjami Pham: I got chance that balancing approach. And maybe just one last one. I know Patrick mentioned diversification helping you to some extent some be mostly wind right now and you saw hydro become more wind. Can you still achieve that through geographical diversification? Has the data suggested that gives you that? Or the data is actually contradicting the diversification approach?
Patrick Decostre: No. Movement really with the -- with the wind in different area, you can see it in the versus US, sorry, versus Canada versus France, the last quarters was already well-diversified. The UK investment, today we are -- I was mentioning that Linekin is under commissioning. We're already producing more than 60 megawatt in Linekiln because in the grid operation, we are just allowed to do this, but it means that there is a lot of wind there, and it will be a diversification from the French wind and the Canadian wind. So that's one point. The storage is a very important diversification. And finally, you know, we are in the -- we have a strong development in New York, and it's only solar and this will be another diversification. The point on the hydro, it will be -- since there is no development in hydro, if you look forward to 2030, it will become smaller and smaller in the revenue and the cash and the EBITDA and the cash-flow. And so the diversification advantage of hydro will be smaller, and that's the reason why coming back to the benefit of asset recycling is that we can crystallize this value with someone who will be interested to buy these assets. And so we get the value, but we can invest in other things. Going-forward.
Benjami Pham: Okay, got it. Thank you very much.
Patrick Decostre: Thank you.
Operator: Thank you. [Operator Instructions] Thank you. We are now going to proceed with our next question. The question comes from the line of Rupert Merer from NBF. Please ask your question.
Rupert Merer: Hi. I was hoping to get an update on your strategy in France. It looks like the pricing there is still pretty strong for you, but I know you have some short-term contracts there that you'll have to think about recontracting soon. How is the strategy evolving? And can you give us an update on where you're at with your -- with your contract portfolio and how that might change over the next few quarters?
Bruno Guilmette: Yes. So there is different things. The first is there is the first impact on the short -- the very short-term, the 18 months, which were exempt of price cap that has an impact because that was a very beneficiary the last 24 months for us. So that will come to an end, obviously. On the other side, there is still strong demand from corporation. We have signed two contract in the fall, and we have some other options that are coming on this side for long-term contract and new assets. For existing assets, what we're doing also is diversifying the off taker. There is different a utility or utility kind, big, big, big grease seller of electricity that are interested to buy our electricity. And on our side, it's better to have more than one large buyer, what we have done in 2022 when we signed with Xpo. And there is obviously, for existing asset the option of repowering that is depending on the price that we can get from, a brownfield PPA versus new repowering. And we have in the last tender. You have seen that we have obtained a contract for the extension of a site, but also another contract for the repowering of the site. And the return of the reporting are very high because there is lots of things that are already paid in this situation. So we are looking at the different options, and there is -- there is lots of options because in Europe, lots of companies have SBTI target. They want to reduce their scope 2 in BTI, and so they have a lot of interest for our product. Just one more thing to note also of interest in France is that the budget of 2025 was finally adopted and there is no -- no cap. The price cap is not extended in 2025, and no change for the -- this year. So there will be no impact negatively from that perspective.
Robert Hope: So, a couple of follow-ups. First of all, how is the spread between the, say, the price you might get from a corporate versus the government auction price? How is that looking? Is it getting more attractive? And more short-term here, what's the impact on your portfolio into the next quarter given the price dynamic that you see?
Patrick Decostre: Yes, it's very sensitive to answer this question as you can imagine. So there is an interest from corporation, which are driven by reducing their Scope 2 and sometimes also by marketing value that they find in this. So it's very difficult to comment, sorry. What I think is you have to see the government-backed contract as a very interesting option. If you look to the last price, they were very good price coming back to the mid 80s in euro. And the reflex is that if we sign corporate PPEA it's because we have a better option by signing the corporate PPA for a specific project. So that's where I can leave it.
Robert Hope: Okay. That's very good. Thank you.
Stephane Milot: Thank you. Thanks a lot, Rupert.
Operator: This now concludes the question-and-answer session. As we have no further questions. I will now hand back to Mr. Stephane Milot for closing remarks.
Stephane Milot: Thank you. Well, thanks, operator, and thank you, everyone, for your attention. If you have any additional questions, you know, were to find me 514-213-1045. I'll make sure we quickly answer your questions. Colleen is also with me answering all your questions. So our next call to announce first-quarter results will be on Wednesday, May 14, at 9:35 a.m., which is usually the case when we have the AGM the same day. So we'll send you the invite in advance anyway for that specific day. So have a nice day, everyone. Nice weekend and enjoy. The nice weather that will come, I guess.
Patrick Decostre: Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.